Operator: Good afternoon, ladies and gentlemen, and welcome to the Fossil Group First Quarter 2025 Earnings Call. At this time, all parties are in listen-only mode. This conference call is being recorded and may not be reproduced in whole or in part without written permission from the company. Now I'll turn the call over to Christine Greany, the Blueshirt Group to begin.
Christine Greany: Hello, everyone, and thank you for joining us. With me on the call today is Franco Fogliato, Chief Executive Officer; and Randy Greben, Chief Financial Officer. Before we begin, I would like to remind you that information made available during this conference call contains forward-looking information and actual results could differ materially from those that will be discussed during this call. Fossil Group's policy on forward-looking statements and additional information concerning a number of factors that could cause actual results to differ materially from such statements is readily available in the company's Form 8-K, 10-Q and 10-K reports filed with the SEC. In addition, Fossil assumes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. During today's call, we will refer to constant currency results as well as certain non-GAAP financial measures. Please note that you can find a reconciliation of actual results to constant currency results and other information regarding non-GAAP financial measures discussed on this call in Fossil's earnings release, which was filed today on Form 8-K and is available in the Investors section of fossilgroup.com. With that, I'll now turn the call over to Franco.
Franco Fogliato : Thank you, Christine. Good afternoon, everyone, and thank you for joining us today. I would like to start by welcoming Randy, who joined us in March and has been a tremendous asset in his first two months with Fossil Group. As we have heard me saying on recent earnings calls, we're moving fast and folios over here. Randy has jumped the ride. He has ranked quickly developing sharp proficiency across the operating and financial models in just a matter of weeks. And his high energy and strong desire to win are an ideal fit with our customer. After my remarks, I will turn the call to Randy to provide a detailed review of the financial results and discuss our outlook. We recognize the global trade environment is top of mind for everyone. Our world-class teams have been doing excellent work in scenario planning, balancing near-term cost management with long-term supply chain optimization. Both Randy and I will address this during our remarks today. First, I will discuss our Q1 performance and provide an update on our turnaround initiatives, which are generating strong business momentum. We're pleased to report another quarter of exceptional progress under our Turnaround Plan. Our teams delivered results ahead of our expectations, both operationally and financially. We recorded a significant improvement in sales performance on a sequential basis, drove another quarter of meaningful gross margin expansion and generated a second consecutive quarter of profitability. Specifically, we narrow our core sales declined to just 8% that represents a sequential improvement of 400 basis points compared to the fourth quarter. Gross margin exceeded 61%, up nearly 9 points from the prior year and we delivered positive adjusted operating margins of 4.3%. Despite the dynamic macro backdrop, we're not currently seeing any softening in our demand trend and continue to have confidence in our ability to drive growth to our turnaround plan. Our confidence is underpinned by several factors. First and foremost is the immediate traction and positive results we're seeing from our turnaround efforts over the past two quarters. Additionally, we have a number of tailwinds to propel the business forward, a leading market position, favorable industry dynamics and a core underlying strength, including iconic brands, innovative design, talented teams in a broad global reach. We're incredibly proud of our teams for delivering strong execution under our turnaround plan. As a reminder, the plan is centered on three primary pillars: refocusing on our core, rightsizing our cost structure and strengthening our balance sheet. I'll take you through a progress update for each of these items. Starting with our first pillar, we focusing on our core, our teams are fully aligned on our new brand-led and consumer-focused operating model, which is translating to positive results across the business. Our primary focus under this pillar is twofold, traditional watches on our major brand platforms and go-to-market execution, we're advancing quickly on several fronts. First, we are delivering a robust pipeline of product innovation with core Fossil icons, such as our award-winning Raquel line for women in our classic machine series for men. Raquel continues to be among our top seller capturing attention from influencer talent and style editors globally. On the men's side, our Machine Chronograph has been a standard among celebrated styles, generating social media buzz and press coverage worldwide. In 2025, we're elevating storytelling around major product and brand moments to strengthen engagement and prioritize winning in men while continuing to maximize momentum we've seen in our women's business. Collaboration remains core to the Fossil brand as we continue to build a foundation of store tale that connects our rich heritage with today's culture. Among our most highly profiled collaboration this year is the Fossil for Mine Craft collection. Just two weeks ago after the launch, the watches were sold out on fossil.com. Organic social performance was also exceptional with a total ratio of $5.5 million. More recently, we had the preview event for our upcoming Fossil Shelby collection. This is our most elevated performance-driven chronograph today, which was built to capture the trailing legacy of Shelby American racing. Additionally, this week, we introduced a limited additional Supermen collection, featuring a full range of products from watches and wallet to bracelet and cufflinks timed to coincide with the Father's Day. We're supporting our robust pipeline of innovation and branded utilization airports with full funnel marketing initiatives. In 2025, we would be investing more strategically deploying our spend towards a higher mix of brand marketing versus performance tactics. Beginning in Q2, we will be doubling down on media, influencer and PR to drive brand it, build awareness and full demand. This included the upcoming introduction of our global Fossil brand campaign, featuring Nick Jonas. As our global brand ambassador, Nick has been a fantastic partner to us as we collaborate in preparation for the launch. In March, Fossil was a lead sponsor of JonasCon, a Jonas brother fund convention created in celebration of the group's 20th anniversary. Nick were our machine chronograph throughout the event, providing Fossil with exposure to this most engaged audience while also generating significant price coverage and social engagement. He has a tremendous reach a musician, actor and philanthropist with known worldwide, and we believe Nick will help us build increase awareness of the Fossil brand and drive reasons among both new and existing customers. At the same time, we will be investing in point of sales market, rolling out a new picture and improved store reselling collateral that become to the Fossil brand at Warsaw. Turning now to our core license brand, our Michael Kors and Diesel. We're investing in point-of-sale and in-store presentation in the world sale channel to reinvigorate our positioning among this brand. These initiatives are already generating improved performance, the Kors brand of return to growth posting double-digit gains in the first quarter. Armani Exchange was also up in the double digits, while the Armani brand remains pressured by the difficult market environment in China. We are particularly pleased with our ability to achieve minimum royalty reduction with our key partners, which speaks to the strength of our long-term relationship and demonstrate their confidence in our turnaround plan and current trajectory. Importantly, these agreements position us to drive profitable growth among our portfolio of licensed brands going forward. And other key initiatives, the work we are doing to optimize our global wholesale footprint by prioritizing key geography. Most notably, in the U.S., our Q1 wholesale business for our core brand grew in the double digits on a year-over-year basis. We also saw continued momentum in other highly scalable markets such as India, where traditional watch performance across brands remain strong. After transitioning five of our smaller international markets to a distributor model earlier this year, we're continuing to evaluate additional opportunities where we can drive efficient growth and scale through the distributor model. This go-to-market strategy can be very powerful in smaller markets. It simplifies our operating model allows us to leverage the regional expertise of local partners to a full top line growth and lowers our in-region cost to drive increased profitability. Moving to our initiatives around channel profitability. Our actions are generating meaningful results across both wholesale and DTC. This is clearly reflected in the strength of our gross margin and improved the bottom line result. The world store channel continued to perform ahead of our expectations, led by fewer promotion as well as Fossil brand innovation. In the e-commerce channel, operating results continue to strengthen. After delivering better-than-expected results in Q4, we saw ongoing momentum in Q1, which has not slowed down thus far in Q2. The strategic decision to reduce our promotional activity is paying clear dividend, higher gross margin, higher quality traffic to our website and increased average unit at retail. In our retail stores, we're seeing a strengthening trend in our full price location led by improved performance in our traditional watches. During the quarter, we continued to optimize the store portfolio throughout the closure of 28 additional stores. As we continue to make great progress across the strategic areas of the business, we're also taking action to transform our operating model by rightsizing Fossil Group's cost structure. In fact, we have already taken this necessary to align where our cost structure to our newly defined strategies, scope and scale. This includes a reduction in force in February, moving some of our international markets to a more profitable distributor model and closing unproductive retail stores. These actions are expected to drive $100 million of SG&A savings in 2025 versus 2024. We're also continuing to evaluate other opportunities, including the potential sale of non-core assets. Looking at the third key pillar under our turnaround plan, strengthening the balance sheet. We ended the quarter with $100 million of liquidity, and we are actively pursuing initiatives to improve working capital and manage liquidity. Just a few days ago, we signed an agreement for the sale-leaseback of our European distribution center in a transaction that's expected to close later in Q2. At the same time, we're working with our adviser to address our upcoming debt maturities. Importantly, our better-than-expected financial performance in Q1 provides us with the added flexibility to execute our plans and navigate the dynamic macro environment. I'm tremendously grateful to our teams across the organization for their dedicating to Fossil Group. They're putting their work, and we're seeing that in the early stage of our team. This is inspiring and highly motivating, including lending, we have three new executives who joined the company during the first quarter. All of them have hit the ground running. Joe Martin, our Chief Commercial Officer has overseen all of our global revenue generating activities. Joe already implementing a robust commercial strategy designed to drive growth within our global wholesale business. During Q1, Joe and I spent time meeting with our partners around the globe, and we're working in close collaboration on future planning reinforcing the opportunity in front of us. Another key leader new to the team is Antonio Carriero, our Chief Vision Information Officer and General Manager of EMEA. Antonio is leading our global technology strategy and driving our commercial business in the EMEA region. He is focused on optimizing our existing tech stack while accelerating our use of AI across the organization to drive efficiencies and unlock potential growth of rights. And while I've already talked about the value Randy has brought to the table, I will add that he has been instrumental in our tariff war room as we assess, plan and model the business and is a fluid situation. As we announced today, we also added two new Board members to the complement the strength of our executive team and bring additional leadership to Fossil Group. While the year started differently than we expected, we are seeing continued business momentum, and we are addressing the global target environment from a position of strength. First and foremost, we're fortunate to have a team with extensive experience, navigating complexity across global markets. Equally important, our diverse global footprint limits our tariff exposure and we have multiple levers we can pull to protect our strong gross margin profile. We have long-term relationship with our vendor partners. We have the ability to lean into a highly scalable market outside the U.S., where our brand already has a strong presence and we have pricing power. While the evolving policy changes and market moves make it challenging to predict consumer sentiment for the remainder of the year, we have not seen any slowdown in our business trends year-to-date. We are reiterating our full year guidance, which contemplates a range of outcomes for China tariff. We also remain confident in the three-year financial framework we have outlined during our March earnings call. Our outlook assumes there is no material change in macroeconomic conditions and broader consumer demand trend. Unfortunately, we have been operating in tumultuous environment, our turnaround plan is working, and our results are moving in the right direction. We look forward to continuing on our path to restoring globe delivering long-term profitability and creating durable shareholder value. Now I will turn the call over to Randy to review the first quarter financials and discuss our outlook.
Randy Greben : Thank you, Franco, and good afternoon, everyone. It's great to be here and be a part of this incredible team. I'm excited about the opportunity we have in front of us and look forward to getting to know how our shareholders. We started the year with strong first quarter performance that exceeded our expectations across the P&L. First quarter net sales totaled $239 million, down to 6% in constant currency. Core sales declined 8% on a year-over-year basis, excluding the benefit of 700 basis points from the additional week in this year's retail calendar, partially offset by 500 basis points of impact from our smartwatch exit and retail store closures. This represents notable sequential improvement from a core sales decline of 12% in Q4. Performance in our Fossil traditional watch business also improved sequentially, posting growth of 7% globally versus the prior year, excluding the 53rd week and store closures. That's up from low single-digit growth in Q4 of 2024. First quarter gross margin expanded 880 basis points compared to last year coming in at 61.1%. The year-over-year increase primarily reflects higher product margins in our core categories, driven by improved product costing, reduced promotional activity in our e-commerce business and our exit from connected watches. Looking at the balance of the year, we expect gross margins to remain strong as we continue to reduce our promotional levels and focus on a full price selling model. Looking at expenses, we brought down SG&A by $17 million to $136 million. This represents a decrease of 11% versus prior year, which can be traced to lower store operating costs on fewer stores, lower compensation and administrative expenses and a planned decrease in digital marketing spend versus the prior year. Our teams have done a great job of prioritizing cost control, and we will continue to identify additional expense levers in 2025. During Q1, we closed 28 stores, ending the quarter with 220 stores. All of these closures occurred at natural lease expiration with very minimal closing costs. Looking at the bottom line, our focus on gross margin expansion and cost reduction enabled us to deliver a second consecutive quarter of profitability. First quarter adjusted operating income swung from a loss of $20 million last year to a $10 million profit this year. This strength drove Q1 adjusted operating margin of 4.3%. Moving to the balance sheet. We ended the quarter with total liquidity of $100 million, including $78 million in cash and cash equivalents and $21 million of availability under our revolving credit facility. Inventory levels totaled $182 million. That's down 19% compared to a year ago and in line with our expectations. Our teams are continuing to operate with financial rigor exercising working capital discipline and careful inventory management as we work towards strengthening the balance sheet, a critical pillar under our turnaround plan. The company has been acting with urgency to address its liquidity position and I can share that we're making meaningful progress towards refinancing our debt, selling non-core assets and further reducing costs. I'm particularly pleased to report that in the last week, we signed an agreement for the sale leaseback of our distribution center in Eckstedt, Germany. The transaction is expected to close in Q2 and will bring in excess of $20 million to the balance sheet upon completion. The refinancing process has been a particular focus of mine during my first 60 days and we look forward to sharing more with our investors in the coming months. Turning now to guidance. Based on the results we're seeing from our turnaround initiatives and ongoing momentum across the business, we are reiterating our full year outlook for 2025. With respect to the global tariff situation, our business has a number of factors that work in our favor, and I've been impressed at the speed at which my colleagues around the globe have mobilized to address this head on. The company is leading from the front with respect to addressing tariff mitigation and absorption. Even if tariff rates ultimately fell between 30% to 145% on goods from China and 10% on products from other countries, we're confident that we can mitigate the full impact of tariffs to our 2025 outlook. Let me unpack just why. First and foremost, we are a global company with more than 60% of our revenue generated outside of the United States. This provides us with a level of insulation that we will leverage as we continue to lean into countries where we have a strong presence and growing business momentum, placing less reliance on our tariff-impacted domestic business. In addition to having a large and diverse revenue stream, we have long established vendor partner relationships, in many cases, formed over decades, both in China and around the globe. We are leaning into those relationships and have already seen partners willing to participate in sharing some of the cost impact of the incremental tariffs. We also have a supply chain that has built-in redundancy, providing us with the agility to reallocate manufacturing quickly and seamlessly as needed. While reducing costs and leveraging our global revenue stream are key advantages, they are not our only levers. We have also made the strategic decision to increase prices later in Q2 and into Q3. Our approach is highly surgical and will vary by brand and by category, providing us with another means to protect the gross margin progress we've demonstrated over the last two quarters. The final mitigant is to further geodiversify our production. We are evaluating opportunities to lessen and in some categories, completely removed the portion of our production that occur in China. In fact, we've already begun to mobilize on this front in certain key areas of the business. Given the fluid trade situation, there are two key points I will make regarding our guidance. First, our full year outlook assumes no material softening of the macroeconomic environment or broader consumer demand; and second, the favorable dynamics Franco and I discussed make us confident that we can offset potential tariff impact even if China rates settle as high as 145%. If the current rate of 30% holds through the year-end, we believe the guidance we're providing today could prove conservative. For full year 2025, we expect worldwide net sales to decline in the mid- to high teens which includes approximately $45 million of impact related to retail store closures and excludes impacts from foreign exchange and potential asset sales. Given the strong business momentum we're seeing, we expect to continue to narrow our year-over-year sales declines for the remaining quarters in 2025. As Franco mentioned, we are taking actions this year that are expected to generate approximately $100 million of SG&A savings in 2025 versus 2024. Three factors are driving the savings. First, we implemented a corporate reduction in force in February. Next, we expect to continue to rationalize the store portfolio with plans to close approximately 50 stores in 2025. And third, we transitioned five international markets to a distributor model, which brings our operating costs in those markets to near zero. We are continuing to evaluate opportunities in additional regions. We expect the combination of expanding gross margins and aggressive cost actions to drive full year adjusted operating margin in the negative low single digits. As we position the business to achieve long-term profitable growth, we're acting with discipline, maintaining financial rigor and moving as quickly as possible on all fronts. We appreciate your time this afternoon and will be available for follow-up calls. Now I'll turn the call back to Franco for closing comments.
Franco Fogliato : Thank you, Randy. I want to thank you our teams for their tireless efforts and dedication to our turnaround plan. And I want to thank our shareholders for their ongoing support. We remain committed to restoring profitable growth and building long-term shareholder value and look forward to updating everyone on our continuous progress next quarter.
Operator: This concludes the meeting. You may now disconnect.
Q - :